Operator: Good day and welcome to Lam Research's June Quarter Earnings Conference Call. At this time, I would like to turn the conference over to Tina Correia. Please go ahead, ma'am.
Tina Correia: Thank you, operator. Thank you and good afternoon, everyone. Welcome to the Lam Research quarterly earnings conference call. With me today are Tim Archer, President and Chief Executive Officer; and Doug Bettinger, Executive Vice President and Chief Financial Officer. During today's call, we will share our overview on the business environment and review our financial results for the June 2020 quarter and our outlook for the September 2020 quarter. The press release detailing our financial results was distributed a little after 1 o'clock PM, Pacific Time this afternoon. The release can also be found on the Investor Relations section of the company's website along with the presentation slides that accompany today's call. Today's presentation and Q&A includes forward-looking statements that are subject to risks and uncertainties, reflected in the risk factors disclosed in our SEC public filings. Please see accompanying slides in the presentation for additional information. Today's discussion of our financial results will be presented on a non-GAAP financial basis unless otherwise specified. A detailed reconciliation between GAAP and non-GAAP results can be found in today's earnings press release. This call is scheduled to last until 3 o'clock PM, Pacific Time. A replay of this call will be available later this afternoon on our website. With that I will hand the call over to Tim.
Tim Archer: Thank you, Tina. And welcome, everyone. The global pandemic, volatility in the macroeconomy, ongoing US-China tensions. We are operating this year amid tremendous uncertainty and unprecedented challenges impacting people all over the world. We see technology playing a critical role, keeping people connected, enabling businesses to remain productive and accelerating solutions to the myriad of problems the world is confronting. I am very pleased with how Lam's employees have demonstrated care for each other and our communities and have responded with great effort to support our customers' success. As a result of their outstanding execution, today, we are reporting strong performance for the June period and guiding to another quarter of solid growth. Specific to the COVID-19 pandemic, our teams have demonstrated agility and resolve in establishing safe and effective protocols to perform essential work in our facilities, while also enabling the majority of our employees to remain productive while they continue working remotely. We have ramped and stabilized our supply and production capability after an initial period of disruption, to support revenues greater than $3 billion per quarter. As you have seen from our guidance, we will be nearing record output levels for the company in the September quarter, highlighting the effectiveness of our business continuity plans, our global manufacturing network and our trusted supply chain partners. We will continue to capture learnings to further improve business resilience and better serve our customers in the future, but overall, I am proud of what our employees and partners have accomplished during this challenging period. Before discussing our results for the quarter, I wanted to comment briefly on our review of the new rules regarding sales of semiconductor equipment into China. China remains an important part of the global semiconductor ecosystem and Lam has a solid track record of business in this market. We are closely monitoring and complying with all regulatory directives and based on our assessment we currently see no material, financial or business impact from the new rules. Turning now to the June quarter. Revenue and EPS came in above our expectations. Operating margins improved sequentially and we generated over $800 million in cash from operations. As the September quarter guidance indicates, we see continued positive momentum as we move into the second half of the year. The results also represents sustained progress towards our long-term objectives. As we mentioned earlier, our guidance indicates, we are nearing prior record levels of revenue, but we believe that our opportunity for growth remains robust. Key point supporting our view include, one, memory investments must continue to grow to meet secular demand drivers. Lam's memory mix year-to-date as slightly below 60% of system revenues is well below historic highs. We expect our strong memory position to drive outperformance in share of WFE spent, as NAND and DRAM investment levels increase. Two, our actions to improve our Foundry/Logic SAM and Share are yielding results. With our revenue growth in this segment outpacing Foundry/Logic WFE growth cycle-to-cycle. And three, our customer support business group at 34% of total revenues year-to-date is an increasingly greater contributor to our top line than in the past. Looking at the broader WFE environment, our outlook remains strong. While COVID-19 has created volatility for the semiconductor industry, in a larger sense it is underscored the rapidly growing reliance of individuals and businesses on semiconductors and the products and technologies they enable. For example, we are seeing accelerated growth in Internet video traffic, as video becomes embedded in a broad range of business and consumer activities. This is manifesting currently in work-from-home, e-Learning, telehealth, online gaming and of course, video streaming. Nearly 2/3 of global consumers, cite video as their preferred medium for obtaining information. The demand that this places on data transport, analysis and storage, will continue to rise. Mobile networks are migrating to 5G. Video quality is doubling from 4K to 8K and cloud and enterprise data centers are expanding to support the enhanced data traffic. A 2x resolution improvement in mobile video drives roughly a 70% increase in NAND storage content and newer server architectures are expected to have over 30% more memory channels versus prior generations. Despite the recent downtick in smartphone units, our own assessment of NAND content in smartphones, in calendar year 2020 has trended higher versus our prior baseline due to a greater mix shift towards 5G devices. We are also seeing increased NAND demand related to new product cycles in the game console segment, with some of the new platforms adding up to a terabyte of SSD based storage. Launches of the new game consoles are expected to add low to mid-single-digit percent growth to overall NAND bit demand in 2020. These demand drivers in combination with increasing semiconductor manufacturing complexity create a compelling set up for sustained strength in WFE spending. In 2020, we estimate WFE to be in the mid to high $50 billion, driven by growth in both Memory and Foundry/Logic investment. Although we have seen underlying demand drivers fluctuate due to the challenges presented by the COVID-19 pandemic, our current WFE forecast in total is very close to what we expected at the beginning of the year. From a mix perspective, we see memory share of WFE growing in 2020, off a low 2019 level. This trend should continue into 2021. Particularly in DRAM, we believe inventory levels will be lower as we get to the end of 2020. In both NAND and DRAM, we see bit supply growth lower than long-term demand this year and NAND recovery progressing ahead of DRAM. By geography, domestic China customers continue to be a strong source of WFE demand, with expected calendar year 2020 WFE spend in the $10 billion range. Year-on-year growth in China investment is predominantly driven by NAND and foundry segments. Looking more broadly at longer term global WFE spend, we are increasingly confident that the accelerating digitization of the economy, along with the rising complexity of semiconductor manufacturing at each technology migration is establishing a higher base of WFE spending at the $60 billion level. With this outlook. We are focused on delivering on our objectives to drive greater than 50% growth in revenue and more than a doubling of EPS by 2023, 2024 compared to our 2019 results. Key to achieving these goals is to execute on the SAM expansion, market share growth in installed base revenue opportunities, we laid out at our Investor Day in March. On the system side, we continue to see positive momentum across our businesses. The June quarter marked a record for net penetration and defense wins in our Etch business, as measured by three year forward revenue, which is a metric we began tracking internally a few years ago. We achieved key wins in High Aspect Ratio Mask Open and Contact Etch applications in both DRAM and NAND and leveraging unique hardware capabilities for RF Control an edge yield enhancement that we introduced last year. We have further extended our technical leadership in high aspect ratio processes across both conductor and dielectric etch. We also combine these technologies with our hydro patterning system, which is enabled by Lam's equipment intelligence and uses fab data inputs to improve customer yield. With this system, we were able to secure new positions in Quad and EUV patterning for DRAM. In the June quarter, we also made good progress in our effort to disrupt older equipment segments with more innovative, extendable Lam solutions. With our enhanced ALD family of products, we achieved 2 new wins for 3D NAND gap fill applications and a multi-layer application win in Foundry/ Logic. Superior film quality, integration and architecturally enabled productivity were instrumental to our success. In DRAM and Foundry, we are also seeing accelerated adoption of our ALD solutions for critical spacer applications which have traditionally been done using furnaces. Overall, we believe our enhanced ALD solutions are helping to enable the performance and cost road maps our customers need. At the same time, we continue to help customers extract more value from their installed base of Lam equipment. In the June quarter, our customer support revenues grew approximately 8% from the March period and our revenue growth has exceeded installed base unit growth year-to-date. Our Reliant Systems business posted its eighth straight quarter of record revenues, driven primarily by shipments to analog-mixed-signal CIS and microcontroller segments. The challenges of the COVID-19 pandemic have also accelerated the deployment of important new technologies for remote equipment support. By enabling real time in fab access to Lam Service Experts located worldwide, we have reduced installation and troubleshooting time without the need for extensive travel. In addition, increasing adoption of our machine learning based analytics, leveraging big data at customer sites is enabling faster detection and resolution of issues. These advances are the result of investments that as we shared at our Investor Day, are targeted delivering services innovation that create value for our customers and also increases our revenue opportunity per chamber. So to wrap up, Lam delivered a very strong June quarter and we see continued strength ahead. We are seeing positive momentum in our efforts to grow our installed base revenue, expand our served markets and increase our market share. And as a result, we believe we are increasingly well positioned to benefit from the long-term secular growth drivers in the semiconductor industry. Thank you, all for joining and for your support. And I'll now turn it over to Doug.
Doug Bettinger: Awesome. Thank you, Tim. Good afternoon, everyone. And thank you for joining us today. I hope all of you and your families have been safe and healthy. Our operation steadily improved throughout the June quarter as we executed well in this COVID-19 environment. We've become increasingly more efficient and effective in our operations, which I think are well reflected in the results from the June quarter. Our revenues came in at $2.8 billion driven by broad based demand. Our customers are investing in leading-edge technologies to service the growth you're seeing in 5G, data centers and product cycle driven demand in the gaming console market. Lam's solid execution is reflected in our revenue result, our gross margin performance, as well as our earnings per share that came in at $4.78. I'd also just point out that our deferred revenue balance is back to a more normal range as compared to the end of the March quarter. From a system segment perspective, the total Memory segment in the June quarter increased to 61% of System revenues from the March quarter level, which was at 56%. We saw increases in NAND spending, which contributed 45% of our system revenue which was up from 40% in the March quarter. Net investments are broad based, focused on 64, 96 and initial 128 layer devices. DRAM spending was consistent across the June and March quarters at 16% and continues to be focused on node transition, primarily conversions to 1y and 1z. The combined memory market remains in a healthy place due to proactive inventory management as well as a prudent investment cadence. In Foundry, demand across diverse end-market applications continues to drive the investment profile. While Foundry as a percentage of our system revenue slightly declined from the March quarter percentage of 31% quarter to the June quarter at 29%, revenue actually increased in dollar terms, coming in at the second highest system revenue level for Foundry in Lam's 40-year history. We continue to be pleased with our trajectory here. And finally, the Logic and other segment contributed the remaining 10% of systems revenue in the June quarter as compared to 13% in March. Term investments continue to be strong in the June quarter, with 34% of our total revenue coming from that region. We're seeing investments from customers in all market segments within China. The majority of the revenue again came from domestic Chinese customers. We continue to expect solid investment levels in this region throughout the calendar year. China is obviously an important market for Lam and we remain confident in the strength of our business there. The June quarter revenue for our Customer Support Business group was a record at $927 million representing an increase of 8% from the March quarter level, and an increase of over 17% from the same quarter a year ago. We're delivering sustainable growth across the components of our customer support group in spare parts, service, upgrades and our refurbished Reliant tool business. Within the June quarter, we executed two significant longer term spares contracts, further improving the recurring nature of the revenue streams in this business and demonstrating further evidence of the trust our customers have in us to continuously deliver value. Gross margin for the June quarter was 46.1%. At the start of the June quarter, driven by uncertainties related to the COVID-19 situation, we saw a potential capacity limitations both from our supply chain partners as well as our own internal production capability. However, as the June quarter progressed, we were able to increase our production efficiency. The resulting expansion in production volumes yielded better effect, better factory performance that enhanced gross margin from our original expectations. In addition, gross margins fluctuate, as you know, based on customer and product mix and in the June quarter, we ended up with a slightly more favorable mix than we anticipated at the start of the quarter. We are seeing higher cost due to COVID in several areas, most notably freight and logistics. We're doing our best to mitigate that headwind by managing other expenses in the factories and in the field. During quarter, operating expense came in at $493 million, slightly higher than the March quarter. We focused our spending in the research and development area, as we address our customers' most critical needs. Roughly two-thirds of our spending remains focused towards R&D. Our incentive compensation expense increased in the prior quarter which is tied to our improved profitability levels. At the same time we've managed expenses elsewhere, most notably travel and they came down throughout the June quarter. Operating income in the June quarter was $795 million and operating margin was 28.5%. It was an increase of 160 basis points from the prior quarter. Our tax rate this quarter was 7.6%. Our rate was low in the June quarter, primarily due to a more favorable mix of geographic income and maybe more importantly a one-time year-end adjustments recorded as we closed our fiscal year. We will have fluctuations in the rate from quarter to quarter. You should continue to expect the ongoing tax rate to be in the low-teens level for your models. Other income and expense increased slightly in the June quarter, coming in at approximately $33 million of expense. Within the June quarter, we were opportunistic with our capital structure. At the end of April, we completed an offering of $2 billion of investment grade bonds with maturities of 10, 30 and 40 years. I was pleased with the demand for our paper, as well as the pricing which came in with coupons of 1.9%, 2.875% and 3.125% respectively. We used $1.25 billion of the debt proceeds to pay down the revolving credit facility that was then outstanding. That facility is now completely paid down. As we discussed in last quarter's call, the cost of our employee deferred compensation plan and the offsetting hedging balances, remain mismatched in the GAAP P&L. You can see these results in the GAAP reconciliation table of our earnings release. Given the volatility in the market in the June quarter, there were large fluctuations between our GAAP expenses in the O line and E lines that the hedge essentially offsets at the net income level. And you should note, the other income and expense balance includes the interest expense of our outstanding debt amounts, obviously, offset by the interest income from our cash and investment balances. You should expect that other income and expense will vary quarter-to-quarter based on several market-related items. Should think about things like foreign exchange. On the capital returns side, we noted in our March quarter earnings call, that we will be pausing our buyback activity during the June quarter, until we had a better line of sight in the business environment. As a result we had only a small amount of share repurchases in the latter part of the June quarter and that together with dividends ended up having us deploy approximately $200 million towards capital return. Long-term capital return of 75% to a 100% of free cash flow remains our plan. Diluted earnings per share, as I said, was $4.78. I mentioned that the one-time benefit from the tax items I referenced was roughly $0.14. Our diluted share balance for the June quarter rounded down to 147 million shares, only a very slight decrease due to the minimal share repurchase activity. The share count includes a dilutive impact of approximately 1 million shares from the 2041 convertible notes. The dilution schedule for the remaining 2041 convertible note is available on our Investor Relations website for your reference. Let me now move on to the balance sheet. Our cash and short-term investments, including restricted cash, increased in the June quarter to $7 billion from $5.6 billion in the March quarter. Cash flows from operations in the quarter were strong at $813 million due to healthy profitability and solid collections during the quarter. Remainder of the increase quarter-over-quarter was related to the debt issuance, offset by the pay down of the revolving credit facility. DSO decreased in the June quarter to 68 days from 80 days in the March quarter demonstrating strong collection performance and the resulting timing of customer payments. Inventory turns were flat with the prior quarter at 3.2 times. We have consciously increased our inventory balance to support the higher revenue level that we see in the September quarter. Non-cash expenses included approximately $50 million for equity compensation, $54 million for depreciation and $17 million for amortization. In quarter capital expenditures were consistent with the prior quarter amount coming in at $51 million. Ending head count as of the June quarter was approximately 11,300 regular full-time employees. This headcount reflects added resources in our factory and field operations, supporting increased volume. As well as additions in research and development to support ongoing critical deliverables, like the new Sense.i Etch platform and the dry resist program that we announced at our Investor Day in March. So now looking ahead, I'd like to provide our non-GAAP guidance for the September 2020 quarter. We're expecting revenue of $3,100,000,000, plus or minus $200 million. Gross margin increasing to 46.5% plus or minus 1 percentage point. Operating margins of 29.5% plus or minus 1 percentage point and finally, earnings per share of $5.15 plus or minus $0.40 based on a share count of approximately 147 million shares. These ranges remain wider than normal, due to the continuing uncertainty from COVID-19. We are well positioned for the second half of calendar 2020 as we expect continued healthy WFE investments. We see continued strength from Memory and Foundry, for that matter, driven by demand in more strategic technology oriented investments. The customer support business group is also expected to provide continued momentum for the company. Operator, that concludes my prepared remarks. Tim and I would now like to open up the call for questions.
Operator: Thank you. [Operator Instructions] The first question will come from Timothy Arcuri with UBS. Please go ahead with your question.
Timothy Arcuri: Thanks a lot. Doug, I guess the first question. You're talking about now WFE being mid to high 50s this year. If I look at Q3 and I look at your guidance and your sort of probably going to gain some WFE share this year, it would sort of assume that we're running maybe in the low 60s in Q3. So, I guess if I assume your full-year forecast and I assume maybe you gain of 100 basis points of WFE share this year, something like that, it would sort of imply that December revenue is well sort of flattish and I'm not asking you to guide December, but I'm just kind of wondering whether you think that, that math holds together where you should gain like a little bit of WFE share this year? Thanks.
Doug Bettinger: Yes. Tim, you're absolutely right. We're only guiding one quarter at time but and I'm not going to give you a specific answer on December but I will qualitatively say, I think December will continue to be a strong for us. Your math -- I don't look at WFE on a quarterly basis, I'm sure you're doing the math right, but you're also right about the observation on share spend and where memory is trending and all of those things, we're setting up I think for a pretty good second half, Tim.
Operator: Thank you for the question. The next question will come from CJ Muse with Evercore. Please go ahead.
C.J. Muse: Yes, thanks for taking the question. I guess a question on the memory side of things and where are we in the cycle. I know 30% above the recent trough, but still 40% below the prior peak and investors clearly been focused on this aspect. Would love to hear your view, particularly as it relates to any positive trends you highlighted into calendar ' 21?
Tim Archer: Sure, I'll start C.J. and then let Doug add something if you want to do. Obviously, what we have, we've been saying for quite some time is that memory is a story of one kind of coming off what was a very strong 2018 and a couple of years of then digesting that, but at the same time, there are underlying growth drivers that I think you're seeing everywhere for both NAND and DRAM, that give us greater confidence in what we've stated is long-term bit demand growth in the high 30s for NAND and in the high teens for DRAM. If those are correct and like I said, I gave you a few of the examples of where the big consumers of NAND and DRAM from an application perspective on the horizon, we think that memory investment has to continue to grow for years to come. Yes, obviously at our Investor Day, we laid out a model of a more normalized memory spending level in the context of total $60 billion WFE and in that environment we grow the company quite significantly.
Doug Bettinger: Yes. And C.J. maybe I'd just add, I mean more near term tactically relative to what's going on this year. I think NAND is a little bit ahead of DRAM relative to the pace of recovery. When I look at the market both are kind of managing inventory investment -- investing what I described as or tried to with a prudent cadence, that's gotten end up this year and DRAM maybe up a little bit, but not too much. I really do think DRAM will be more 2021 story. So think about that near term and then on top of that as it relates to Lam, I mean we're doing extremely well in Foundry as well. So, factor that in when you think about what's going on with our company.
C.J. Muse: Very helpful. And if I could follow up on the service side, you grew that business stellar 70% [Phonetic] year-on-year. Was there any catch up there on the deferred side and I guess, thinking through that, how should we think about the potential for sequential growth and into September, December? How do your tools coming off warranty and upgrades look at least based on your build plan today? Whatever you can share. Thanks.
Doug Bettinger: Yes, C.J. In this part of the business, the deferred stuff we had at the end of March, really wasn't impacting things. The deferred, if you remember what we described at the end of March, had to do with back ordered shipment. That was really all about new equipment. So I don't think there's anything terribly unique going on in CSBG, Tim unless there's something.
Tim Archer: No. I think it's -- again, it's just the efforts as we've said to continue to provide services to grow our revenue opportunity per chamber. And also just our business as you pointed out, as our company continues to grow faster, the installed base grows faster and generates more opportunity.
C.J. Muse: Thank you.
Tim Archer: I don't think there is anything unique.
Doug Bettinger: Yes, thanks, C.J.
Tina Correia: Operator, can we go back to Tim Arcuri for an additional question please.
Doug Bettinger: Yes, I thought of as Tim only had one question.
Operator: Yes ma'am, one moment. Your line is open Tim.
Timothy Arcuri: Thank you. Thanks for that Doug.
Doug Bettinger: Sorry, Tim. I'm sorry.
Timothy Arcuri: Yes, sure. Sure, no worries. So, the second question, I guess, can you go through a little bit about the, how the whole military end use thing is transpired, it seems like China WFE is a little higher, the domestic stuff is maybe $1 billion to $1 billion higher than you thought it would be and it seems like now all these customers know that there is restrictions looming at some point. So they're going to keep on pulling stuff in. So can you just talk about how the export controls have transpired? Is commerce happy just as long as you do the due diligence with the customer on military end use? Can you just kind of talk about all that? Thank you.
Tim Archer: Sure, I mean, I think Tim, in my comments I talked about our assessment. It was quite an extensive diligence process that we went through which consisted both of our own conversations in questioning of the customers and their certification as well as the use of third party research and also validation by outside counsel and we arrived at our conclusions, as I stated, no material, financial or business impact as a result of all of that work. Now, that is an ongoing activity for us, means that we are continually assessing and doing that kind of research and so that's something that we have committed to but at this point that is our conclusion, if by your question about and connection to domestic China WFE. I don't think that's a connection that we're making and basically we are saying that China has plans to invest and I indicated that a lot of the investment is coming from NAND as well as Foundry and at least in our view right now. We have not made that connection that somehow domestic China WFE is in any way really affected by these rules one way or the other.
Doug Bettinger: Yes. Tim, maybe a comment from me, my sense is, it's not, there is nothing pulled in say no, we may be wouldn't know if it was or wasn't a little bit. But given we've concluded the rules are not impacting our ability to ship. I don't know why anybody would think there should be pulling things in right.
Timothy Arcuri: Awesome. Okay, thank you much.
Tim Archer: Thanks, Tim.
Operator: Thank you. The next question will come from Harlan Sur with J.P. Morgan. Please go ahead with your question.
Harlan Sur: Good afternoon. Great job on the business execution and strong results. One of the large logic manufacturers recently talked about the potential of moving to a more outsourced business model. Maybe just a continuation of the industry trend towards a fabulous business model. At a high level, it would appear to be a zero-sum game. But wanted to get your views on the potential ramifications of your business in a structural move in the industry towards a more fab like or fabulous business model.
Tim Archer: Yes, okay. Let me try to take that, Harlan, to start. Obviously, we don't want to comment about the specific plans of any one customer, but to your point of the industry moving to outsource model, I mean, obviously that's a more than 20 year story and I think that anything that allows wafers ultimately to be produced with better technology at lower costs, however, that's done, in-house or outsourced, is what's good for the industry and that's good for Lam. I'm quite certain that as a result of the advances that have happened on the Foundry side, Lam's business has benefited tremendously in the last 20 years and that just comes back to a statement that I've made a number of times, which is the best thing for Lam is that technology nodes continue to migrate. We have greater SAM at every technology node migration across NAND, DRAM and Foundry logic and so every company has to decide for themselves, what's sort of the best answer to advancing technology at the best cost. That can be in-house, can be outsourced. What we care about is whether that technology advances and more wafers get produced and so I think, we obviously watch it and we look at the impact on our business. But ultimately Foundry hasn't been bad for the industry or for Lam.
Harlan Sur: Absolutely.
Doug Bettinger: Yes. And Harlan, just one or two comments from me. The way I think about it is what matters to Lam is the number of leading edge wafers in the entire industry that are put in place, whether it's in-source, outsource, largely doesn't matter too much. Either way it needs equipment, right? Independent of where it goes, we're selling largely the same things to the industry.
Harlan Sur: Yes, that's great insights there. Good to see the recovery of the business and the improvement in the supply chain and logistical bottlenecks. Just wondering, Doug, if the team is still, even with this strong September quarter guide, playing catch up on the delinquent backlog as a result of the earlier bottlenecks and if so, how much of that has yet to be worked down?
Doug Bettinger: Yes, Harlan. I think we've got nicely caught up. I don't think we're completely caught up as we sit here today, but we made very nice progress during the quarter.
Harlan Sur: Great, thank you.
Tim Archer: Thanks, Harlan.
Operator: Thank you. The next question will come from John Pitzer with Credit Suisse. Please go ahead.
John Pitzer: Yes, good afternoon, guys. Congratulations on the results. Thanks for letting me ask the question. Doug, just maybe a follow on to Harlan's question, it sounds like COVID was still a cost headwind in the June quarter. I'm wondering if you can help us quantify that and as you look out into September with the guide how much sort of COVID logistical expense is still in there and when do you think you might be able to take that out of the model?
Doug Bettinger: Yes, John. The biggest individual item, when I look at it is freight and logistics. I mean freight lanes are more restricted than they were obviously pre-COVID. Things are more expensive. Really tough to mitigate that. I mean, to a certain extent, you take the price, you do your best negotiate it, but you're somewhat of a price-taker there. That doesn't mean we're not, as I tried to describe working to drive efficiency, effectiveness elsewhere in the operation. That's what Lam is extremely good at doing and we're doing that, but that is where the challenges are right now. I'm not going to quantify it, John. But it is impacting gross margin to a certain extent. I don't know, Tim, if you want to add anything.
Tim Archer: No. The only thing I'd add is; obviously, Doug pointed out some near term headwinds on the cost side. You know fully, we would expect those to eventually roll back as things normalize post COVID. But I mentioned this point of the acceleration of remote support technologies. And I think that's -- while we haven't fully quantified kind of what the benefit could be, clearly some of the benefits of less travel and more productivity of kind of worldwide engineers who can now connect into fabs and provide expertise via some new technologies, that actually will be likely a cost and kind of personnel benefit for us, so in -- down in the future. And so we're investing in that and I think it's a positive headwind just further -- positive tailwind just up further down the road.
John Pitzer: That's helpful. And then, Tim, you guys covered a lot of ground at the Analyst Day earlier this year, but you couldn't cover everything. I'm kind of curious if you can kind of spend a few minutes talking about your positioning in advanced packaging, because clearly, there's not a lot of volume in sort of chiplets today, but as you look at Intel moving to their second generation 10 nanometer part sometime in the second half of next year, it seems like the tiles last chiplet strategy is really poised to accelerate starting in the back half of next year and going forward. And I know you guys have some good leverage there, but I'm just trying to get a sense of quantifying and how big do you think that market opportunity is.
Tim Archer: Sure. I don't know if I'm -- I don't know if we're prepared quite to quantify it for you on this call, but what I can tell you, is it kind of follows on from my earlier comment about customers and just the industry in general looks for the best way to achieve the performance that's required at the lowest cost. And sometimes that's by looking at total system performance and these advanced packaging 3D chiplets, these sorts of technologies, actually are one way to deliver system performance without having to necessarily utilize the most advanced node chips for every application. And our position has been very strong. We've been -- we were an early investor there. We have leading positions on both the etch and depth side in TSV applications and we think that we're extremely well positioned when that comes. And so, every time we hear about acceleration, we're actually quite encouraged. But it's something that our high aspect ratio etching processes and our ability, I think most people recognize our leadership for 20 plus years in copper electroplating fill. Those are critical technologies for these 3D packaged and heterogeneous integration applications.
John Pitzer: Helpful. Thank you, guys.
Tim Archer: Thanks, again. Yes, thanks, John.
Operator: Thank you. The next question will come from Krish Sankar with Cowen & Company. Please go ahead.
Krish Sankar: Hi, thanks for taking my question. Tim, I had a question on memory. Clearly memory, WFE is the underspending right now and your revenue has a lot of potential upside. If I look at the last cyclical peak which was in March 2018, if you are able to get back to those kind of WFE levels for memory, how will Lam's revenue profile look like in memory, given that you gain some shares? Is there a way to quantify it, to see how much higher, you could be versus the last cyclical peak? And then I had a follow-up.
Tim Archer: I think Doug's signaling, I can't quantify that. Of course, we have quantified it and that's why my comment was, we believe our opportunity. We knew there'd be this peak question but my comment was, regardless of the fact that our revenues are approaching the last time and therefore the peak question starts to come up, the setup is quite different and in fact, that's why we pointed out, our memory mix today is a much lower. WFE is not back there and so I guess probably you can do the -- do it just as easily as we can. But there is still significant upside as memory growth continues not only to return to prior levels, but also to continue to grow to meet all of these new application drivers that we've talked about.
Doug Bettinger: Yes, Krish. Obviously, when we put a financial model out, not all that long ago in March, we comprehended some aspect of memory being at a higher investment level. CSPG growing. Our strength in foundry continuing to grow. So you have the data points.
Tim Archer: It's kind of all in there.
Doug Bettinger: It's all in there.
Krish Sankar: Got it, got it. No worries. And then I have a question on your ALD traction. I'm just curious like when you look at the ALD, like clearly that market is going to continue growing. You guys are like a number two player in that, I would probably say. How much of the -- how much of the growth in ALD is actually driven by technology versus the fact that productivity for ALD tools is still pretty low? Which is driving the bigger upside in ALD?
Tim Archer: Well, all of these new adoptions that I keep talking about, these are, these are LAM's efforts to expand the application base for ALD and which means it's a technology-driven decision. But usually what has -- I mean, in the past, what has held back ALD from adoption in many of these cases was, it's great technology, but the productivity wasn't -- it wasn't affordable to put in at a certain nodes. So people pushed it out. What we've done is, we've married both an expanding film set, more applications with, as I said, architecturally enabled productivity and we're getting a lot of traction across a number of different applications. I talked about 3D NAND gap fill, talked about a multilayer application in Foundry/Logic that's a different material, talked about critical spacers and so it's just we've broadened I think the target market for ALD and we're seeing good traction.
Krish Sankar: Thanks, Tim. Thanks.
Doug Bettinger: Thanks, Krish. Yes.
Tim Archer: Thanks, Krish.
Operator: Thank you. The next question will come from Toshiya Hari with Goldman Sachs. Please go ahead with your question.
Toshiya Hari: Hi, guys. Thanks very much for taking the question and congrats on the strong results. Doug, you mentioned that for 2020 domestic China, you guys are expecting about $10 billion in spend. Curious, what's the rough split between memory versus logic and foundry? And on the memory side, I feel like both you and the broader industry is currently in a sweet spot where your customers are spending, but they're not really contributing to supply. At what point would you expect them to start to really move the needle on supply and as a result of capital intensity come down in local China? And then i have a follow-up. Thank you.
Doug Bettinger: Yes, no problem, Toshiya. We haven't quantified what is in which segment in China but I forget if Tim said or if I said it in the script, it kind of blurs in my mind sometimes, we said its broad-based in China, in all segments. So it isn't just one, it's a broad set of customers that are investing. So, think of it that way, it's not one or the other. And you're right and I wouldn't characterize China's inefficient in the investment, it's just when customers are investing for the first time or are relatively new to investing in capacity, you got to buy it. Then you have to ramp it and it takes time for that to happen. It's not unique to any one geography or any one customer that is really what's going on and over time customers get more efficient as they ramp things. That's how I think about it, Tim. I don't know…
Tim Archer: Yes, no, as you suggest in the earlier question, I think thinking about the model we've put out just back at Investor Day, I think by the time you get to the 2023-2024 timeframe, we've comprehended that those additions in China are effectively the same as additions elsewhere in the world. So we don't think there is some extra inefficient spending in that case that's driving numbers higher for Lam. So I think if you just look back at that model that's a relatively efficient spend across all segments in 2023-2024.
Toshiya Hari: Got it, thank you for that. And then as a quick follow-up. Doug, in your prepared remarks, you talked about winning two service contracts in the quarter, I believe I wasn't sure if you meant to highlight it as a meaningful dynamic here but did those contracts at all drive incremental growth going forward, or does it change how we should be thinking about quarter-to-quarter, year-to-year volatility and your installed base business or profitability going forward? Thank you.
Doug Bettinger: No, not really, Toshiya. I mean I just mentioned it because one, they were a little bit longer term and two, they were bigger than perhaps typical and to me is very much part of how we run this business. It's the customer has faith and confidence in your ability to deliver and provide value, it is consistent with what we expect that business to do and it has done in the past. I just mentioned it because it was notable when we looking at the results this quarter.
Toshiya Hari: Thank you.
Doug Bettinger: Yes. Thanks, Toshiya.
Operator: Thank you. The next question will come from Blayne Curtis with Barclays. Please go ahead with your question.
Blayne Curtis: Hey guys, thanks for taking my question and a great result. Just kind of curious. from a high level, the wafer front-end, you're keeping the same amount in your catching up to. I'm just kind of curious as you look at it, the way the year shaking out. I think there's a lot of doubts whether you hit that number, is it the same contribution and then any comments on the strength in the second half by geography would be helpful?
Doug Bettinger: Blayne, are you asking about WFE? Was that your question? Just wanted understand.
Blayne Curtis: I'm curious as you're still seeing the same WFE forecast for the year and kind of curious...
Doug Bettinger: Yes.
Blayne Curtis: Is it contribution as we thought starting the year and then any comments on geography, particularly into the back of the calendar year? Thanks.
Doug Bettinger: Yes. I think Tim specifically mentioned in his script there's puts and takes in here, right. It's ended up at the same level. I would suggest to you that more consumer-oriented stuff is a little bit weaker, smartphones, as an example, smartphone units aren't the same as we thought at the beginning of the year that is creating a little bit of a downtick but that's offset by other things going on in hyperscale cloud consumption of silicon, work-from-home type things and net-net, one is up a little bit once down a little bit. We're in the same place that we began the year.
Blayne Curtis: And then, just -- I was just curious from a geographic perspective, if you had any color into the growth into September?
Doug Bettinger: No, we never forecast the GOPs. I wouldn't expect it to be wildly different than what you've seen over the last couple of quarters or so from a directional standpoint.
Blayne Curtis: Thanks.
Doug Bettinger: Thanks, Blayne.
Operator: Thank you. The next question will come from Vivek Arya with Bank of America Securities. Please go ahead.
Vivek Arya: Thanks for taking my question. I'm curious about WFE growth outside of China, because when I look at your first half ex-China sales are down in the last fiscal year. So when do we see -- why are we seeing these trends, I understand this is probably a very short frame, timeframe for looking at these trends, but I'm just curious, qualitatively, why are we not seeing the same kind of WFE growth outside of China, because I imagine everyone is exposed to the same growth drivers?
Doug Bettinger: Vivek, I mean obviously the majority of WFE spending is outside of China. 2/3 of it is outside of China. Right. And so you're seeing the contribution of WFE across every geography, right. It's more about what's going on in the end markets. That's how you should be thinking about it right. Foundry is strong this year, NAND up from last year, DRAM maybe up a little bit, but to a large extent that's geographically independent.
Vivek Arya: No. I guess my question is that when I look at last year WFE was I think 50- 51, this year you're guiding it up $5 billion to $7 billion, but a big part of that growth is coming from China. Right. The incremental growth is coming from China. So I'm just curious why we are not seeing WFE spending outside of China at that same pace or is that just something we will see next year perhaps?
Doug Bettinger: Yes. No, you are -- I mean there three to four probably incremental in China and the rest of it is outside of China. Vivek?
Vivek Arya: Okay. As a follow-up, CSBG, thanks for providing that info. So it grew I think about 7% or so last fiscal year. I'm curious what it -- how much it grew the prior fiscal year and what part of that, should we think of that as kind of recurring and this is such an important part of your business that I'm always very curious about how to correlate this to your growth in chambers. Is this correlated to your chamber growth from two years ago or three years ago? Just how should we take this 7% number, and I don't know how to forecast your CSBG business. I guess that's really what I'm trying to ask.
Doug Bettinger: If you're thinking about forecasting, we gave you data points at the Investor Day, which was Pat Lord, who manages this business for us suggested that by 2023-24, it will have grown 40%. So there is your data point for how to forecast it. Chamber count is critically important but Pat and Tim talked about, it's not just chambers, it's dollar per chamber growing from, I think we, I forget what year we indexed it back to 2013, maybe...
Tim Archer: 2013.
Doug Bettinger: It was one point. Yes, it was 1.0 then it had gone to 1.5 and we had objectives to continue growing it to 1.7, which was what was baked in the model. So that's how you should think about it. Chamber count is important. We're also driving some of the innovative service offerings like Tim talked with remote diagnostic on equipment and things, to try to add more value for the customers and get paid for it.
Vivek Arya: Thank you.
Doug Bettinger: Thanks, Vivek.
Operator: Thank you. The next question will come from Mehdi Hosseini with SIG. Please go ahead.
Mehdi Hosseini: Yes, sir. Thank you for taking my question. Just as a follow-up to the prior question, how should we model the customer support over the next few quarters? Should we just track the memory investment you highlighted as doing better than foundry or would it be more in line with the overall revenue trend line that you described earlier?
Tim Archer: Yes. I think that again it's -- the beauty of the CSBG business is, it probably -- it doesn't change on the time scale that you're talking about here relative to any particular quarter's change in shipments. I don't think you're going to see that and we have an installed base in excess of 60,000 chambers. And we're driving revenue in our CSBG business off of tools that were shipped 20 plus years ago and there is upgrade cycles in their service contracts that Doug talked about, there's consumable parts. And so I don't think you're going to see that. But as I said, that's the beauty of this. This is the, let's say, it's a stabilizing function for the company's revenue, and that's why we're investing heavily in this and it delivers value for the customers in reuse of and extension of installed tools.
Mehdi Hosseini: Yes. I believe this is the first quarter that you're actually breaking this out and I was just trying to better understand whether the Customer Support Business Group would grow faster with memory or with foundry or with a bit of same for different end markets.
Tim Archer: Yes, I can -- okay. Well, I think it's the second quarter that we've actually put out the data. But I think the couple of pieces of information to think about. One is, we've said that the business will grow every year and that's simply because again the installed base is growing every year and again we're investing to try to create more services, value-added services and products for that installed base. We haven't really made a comment about, does it grow every quarter. I mean, because it's -- again it's --you can be influenced by certain service contracts, certain upgrade decisions that customers make in any given quarter, but year-to-year, you can think about it growing every year. It maybe a little bit less about segments. I've talked in the past about critical applications and Lam's focus on critical applications and the importance of that. I mean, one, they are sticky, but two, they actually tend to drive more parts and service requirements because the customers have to keep those systems at absolute top performance because they're performing the most difficult applications in the customers' fab. And so you tend to see a little bit more pull-through on the CSBG business for the critical applications where Lam is extremely strong. And so maybe that's -- yes, maybe it's a little less by device type but more by the application requirements. And also critical applications tend to drive a more frequent upgrade cycle as the customers need to keep the installed base kind of performing for that latest technology node.
Mehdi Hosseini: Thanks.
Doug Bettinger: Thank you.
Operator: Thank you. The next question will come from Joe Moore with Morgan Stanley. Please go ahead with your question.
JoeMoore: Great, thank you. I know you guys said you had --you were working your way through the supply challenges but I wonder if you could help us kind of with what the quarterly revenue progression might have looked like if you hadn't had those. You had said in March, to get about $300 million of revenue deferred by the supply challenges. Should we view June as kind of having caught up to that and then this surge in September is more shipping directed demand or just what would that have looked like if you hadn't had the supply challenges that you had?
Doug Bettinger: Yes, Joe. I didn't quantify that. I'd say we've got nicely caught up. I also said we're not completely caught up at the end of the June quarter and that's as much as I think we're going to give you right now. We're driving efficiencies. We're getting much better. I think, Tim and I are pretty happy with how the supply chain is performing.
Joe Moore: All right. Great, thank you very much.
Doug Bettinger: Thanks, Joe.
Operator: Thank you. The next question will come from Joe Quatrochi with Wells Fargo. Please go ahead.
Joe Quatrochi: Yes, thanks for taking the question and congrats on the results from me as well. I think you mentioned that your capacity from a manufacturing perspective is over $3 billion per quarter now with all the issues with the supply chain. Is there a scenario over the next few quarters where you see potentially demand outstripping what you can deliver?
Tim Archer: Well, we have a global manufacturing factory network that we're highly confident in, I think it's unlikely that that's the scenario. I didn't want --I did not give you a maximum output for our factory network. I was only wanting to indicate that clearly we were supply constrained in the last quarter, was one of the reasons why we were unable to provide our normal guidance. Now with capability beyond $3 billion, we're confident in our September quarter and we're confident that over time, we'll continue to ramp that higher and higher. So it was -- we're not going to divulge our exact manufacturing capacity, but I'm quite certain we can continue to meet higher demand.
Joe Quatrochi: That's helpful. And then just...
Doug Bettinger: Go ahead, Joe.
Joe Quatrochi: Just a quick one on capital return. Should we think about your comments of reiterating your long-term target model for 75% to 100% of free cash flow is kind of indicative that we should start to see maybe some more -- or maybe at a re-accelerations on the share repo in the current quarter and into the end of the year?
Doug Bettinger: Yes, probably, Joe. I mean, we said last quarter, we were pausing in -- we actually came back into the market a little bit before the end of the quarter. So we're back, looking at things and I've always said it's opportunistic in terms of how we do what we do and we'll continue to be opportunistic.
Joe Quatrochi: Thank you.
Doug Bettinger: Thanks, Joe.
Tina Correia: Operator, we have time for one more question, please.
Operator: Okay. The next question will come from Weston Twigg with KeyBanc Capital Markets. Please go ahead.
Weston Twigg: Hi, thanks for taking my question. I just wanted to dig into the operating costs a little bit. Just understanding that people aren't really traveling right now, you're probably saving some money, you mentioned some tailwinds around remote servicing. But should we expect operating cost to ramp up meaningfully in 2021 assuming there is some sort of post-pandemic return to kind of a normal level of business and travel and marketing? And I kind of noticed that you added some head count as well. So I would assume that that would roll in and I don't know if that continues through next year. But just kind of wondering how next year works from an operating cost standpoint?
Doug Bettinger: Weston, I'm not going to give you a forecast for next year yet. I think there'll be plus or minuses assuming we get back to normal, we get a vaccine, the therapeutic regimen, what have you. I think we're going to learn from how we're operating right now and be better over time. I mean that's what Lam is really very good at. Looking at an opportunity, getting better and systematically doing it that way. I think we will do that. And yes, if we get back to normal travel, come back a little bit. I don't think it would come back -- comes back to where it was, but again, we'll keep managing the P&L in the right way.
Tim Archer: Yes, I think the only thing I'd add is at the same time, we've, obviously, I think we have a great track record of managing OpEx and you can kind of look at the results to support that. But we are investing in our 2023, 2024 plans. I mean, you've seen some of our announcements recently. The construction of a technology center in Korea, obviously there's expenses associated with that. It's a strategic investment to expand our R&D capabilities, put it closer to some of our largest customers. We are building a new manufacturing facility in Malaysia, which again is going to expand our global manufacturing network, provide additional business resilience, help take some cost out of manufacturing structure. So, there are some near-term investments that we're confident in our long-term plan. And so we are pushing those through even right now. And we are seeing some of that reflected in our expenses as well, so, maybe that's offsetting a little bit some of the savings that that Doug talked about. But I wanted to get into the product and R&D, we continue to push more into R&D because we think it's the long-term growth engine of the company and we are really confident in our product pipeline and new products coming out.
Weston Twigg: Okay, that's very helpful context. Thanks.
Doug Bettinger: Yes. Thanks, Wes. Okay, operator -- yes.
Tina Correia: Thank you all for joining today, we appreciate it. And stay safe and healthy. Thank you.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.